Operator: Greetings and welcome to Huntington Bancshares Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference call over to your host, Mark Muth, Director of Investor Relations. Thank you, you may begin.
Mark Muth: Thank you. Welcome. I’m Mark Muth, Director of Investor Relations for Huntington. Copies of the slides we will be reviewing can be found on the IR website, of Huntington’s website huntington.com. This call is being recorded and will be available as a rebroadcast starting about one hour from the close of the call. Our presenters today are Steve Steinour, Chairman, President and CEO; and Mac McCullough, Chief Financial Officer. Dan Neumeyer, our Chief Credit Officer will also be participating in the Q&A portion of today’s call. As noted on Slide 2, today’s discussion, including the Q&A period, will contain forward-looking statements. Such statements are based on information and assumptions available at this time and are subject to changes, risks and uncertainties, which may cause actual results to differ materially. We assume no obligation to update such statements. For a complete discussion of risks and uncertainties, please refer to this slide and materials filed with the SEC, including our most recent Forms 10-K, 10-Q, and 8-K filings. Let’s get started by turning to Slide 3 and an overview of the second quarter results. Mac?
Mac McCullough: Thanks Mark, and thanks to everyone for joining the call today. As always, we appreciate your interest and support. We are very pleased with our second quarter financial performance, including record net income and we continue to make solid progress with the FirstMerit integration completing the remaining FirstMerit Systems conversions during the quarter. Steve will provide a more detailed update on the integration later in the call. During the quarter, we also received the results for the annual Dodd-Frank Act Stress Test and the annual CCAR process. We believe our DFAST credit losses distinguish Huntington among our peers again this year. Our cumulative stress losses and a severely adverse scenario were the fourth lowest, our third consecutive year to be among the four lowest regional banks. We also received no objection from the Federal Reserve to our proposed capital plans submitted and the CCAR process. The capital plan includes an increase in the cash dividend from $0.08 per share to $0.11 per share beginning with the fourth quarter of 2017 dividend, subject to board approval at that time, and a repurchase of up to 308 million of common stock over the fourth quarter period through June of 2018. The reinstatement of the buyback is an important milestone for Huntington as we have completely replenished our CET1 capital ratio following the strategic capital deployments in the FirstMerit transaction. Let’s now turn to Slide 3 and review second quarter results. Please keep in mind that all year-over-year comparisons will benefit from the inclusion of FirstMerit as the acquisition closed during the third quarter of 2016. Huntington recorded earnings per common share of $0.23 for the second quarter of 2017, up 21% over the year ago quarter. This is inclusive of $0.03 per share of significant items related to the FirstMerit acquisition, which also impacted the financial metrics that I will highlight on this slide. Also including the significant impact of significant items, return on assets was 1.09%, return on common equity was 10.6%, and return on tangible common equity was 14.4%. Tangible book value per share decreased 8% from the year ago quarter to $6.74. Tangible book value per share was up 3% sequentially from the first quarter. Total revenue increased $295 million or 37% year-over-year, which included 47% growth in net interest income and 20% growth in non-interest income. Non-interest expense increased $171 million or up 33% year-over-year. Non-interest expense adjusted for the year-over-year change in significant items increased 141 million or 28% year-over-year, reflecting the addition of FirstMerit and ongoing investments in technology, including digital, mobile, and cyber and ongoing investments in our colleagues. Our reported efficiency ratio for the quarter was 62.9%.However net acquisition related expenses added 4.6 percentage points to the efficiency ratio. Adjusting for the significant items, the adjusted efficiency ratio was 58.3%. The reconciliation for this number can be found on Slide 16. Moving onto the balance sheet, average total loans grew 30% year-over-year, while average core deposit growth fully funded loan growth increasing by 39% year-over-year. Credit quality remained strong with improvement in the quarter. Consistent prudent credit underwriting is one of Huntington’s core principles and our financial results continue to reflect our disciplined risk management. Net charge-offs were 21 basis points of average loans remaining well below our long-term financial goal of 35 basis points to 55 basis points. This was up from 13 basis points in the year ago quarter, but down slightly from 24 basis points in the first quarter of 2017 consistent with normal seasonality. The NPA ratio decreased by 32 basis points from a year ago benefiting in part from the impact of purchase accounting and the acquired portfolio. We managed the bank with an aggregate moderate to low risk appetite and our results continue to illustrate disciplined focus on risk management. Finally, our capital ratios continue to increase. As of quarter-end, our CET1 ratio was 9.88%, well within our 9% to 10% operating guideline. While our TCE ratio was 7.41%. As I mentioned previously, our CET1 ratio is now above our pre-FirstMerit level from year ago, while other capital ratios continue to replenish. Turning to Slide 4, total revenue was up 37% from the year ago quarter, primarily driven by net interest income, which was up 47% reflecting the addition of FirstMerit and disciplined organic growth. The net interest margin was 3.31% for the second quarter, up 25 basis points from a year ago and up 1 basis point on a linked quarter basis. Purchased accounting had a favorable impact of 15 basis points on a net interest margin in the second quarter, compared to 16 basis points in the first quarter. Non-interest income increased 20% year-over-year. We continue to see good growth in service charges on deposit accounts in card and payment processing revenue. Both of which reflect the FirstMerit acquisition, as well as organic customer acquisition and continue to increase customer debit and credit card activity. Non-interest expense increased 33% year-over-year. Significant items again impacted both 2017 and 2016 second quarter expenses. For the second quarter of 2017, acquisition related expense totaled $50 million. Adjusted non-interest expense in the first quarter grew 28% from the year ago quarter primarily from the inclusion of FirstMerit. Compared to the first quarter of 2017, adjusted non-interest expense increased 10 million or 2%, driven primarily by the seasonal increase in marketing and the seasonal increase in personnel expense, related to the implementation of annual merit increases and long-term incentive grants in the second quarter. These increases were partially offset by the benefits from the FirstMerit cost takeouts. For a closer look at the details behind these calculations, please refer to the reconciliations on Page 15 of the presentation slides or in the release. Let me also reiterate, we remain on track to achieve the $255 million of annual expense savings that we communicated when we announced the FirstMerit acquisition. With the successful FirstMerit conversion and branch consolidations, particularly with respect to consumer deposit retention positioned us to re-examine our physical distribution sooner than we would have otherwise expected. As a result of this review, we recently announced the planned consolidation of 38 branches, plus seven drive-through only locations. All of which are expected to close late in the third quarter. These locations included both the legacy Huntington and legacy FirstMerit branches. This could be viewed as a modest upsizing of our cost savings expectations by a couple million dollars per quarter. However, the additional servings are not expected to fall to the bottom line as we have recently accelerated some of our ongoing technology investments, especially digital. Slide 5 illustrates that we are well on our way to delivering positive operating leverage again in 2017. You're accustomed to hearing us talk about this every quarter stressing how important annual positive operating leverage is to us as a company. In 2016, we enjoyed our fourth consecutive year of positive operating leverage and we remain confident that 2017 will be the fifth consecutive year. Moving to Slide 6, average earning assets grew 35% from the year ago quarter. This increase was driven primarily by a 56% increase in average securities and a 31% increase in average C&I loans. The increase in average securities reflected the addition of FirstMerit's portfolio, the reinvestment of cash flows, including the proceeds of the auto securitization in the fourth quarter of 2016, and additional investments in liquidity coverage ratio Level 1 qualifying securities. During the second quarter, average total loans increased about 0.5%, compared to the prior quarter. On a period end basis, total loans increased 1.4% or 5.7% annualized. In light of normal seasonality, coupled with our expectations for a modest increase in economic activity in our footprint over the remainder of the year, we are reiterating our expectations for a period end loan growth of 4% to 6% for the full year of 2017. The year-over-year increase in average C&I loans, primarily reflected the FirstMerit acquisition, as well as increases in core little market, especially lending verticals, business banking, and auto core plan. During the second quarter, we continue to face headwinds and corporate banking as a number of these large borrowers paid down their bank debt by accessing the debt markets in order of the lock in current low rates. This quarter also saw an elevated amount of run-off from FirstMerit loans targeted to exit the bank as they did not fit our strategy on risk appetite. These were all loans identified during the due diligence and included both auto floorplan and middle market commercial credits. C&I balances were further impacted by payoffs and paydowns of certain non-performing loans helping to drive a 9% sequential decline in non-performing assets. We also experienced paydowns and run-offs within the commercial real estate portfolio, which declined 4% sequentially. Average auto loans increased 12% year-over-year with the second quarter representing another strong quarter of consistent disciplined loan production. Originations totaled 1.7 billion, up 6% year-over-year. Average new money yields on our auto originations were 3.58% in the second quarter up from 3.54% in the prior quarter and up almost 50 basis points from the year ago quarter. Average residential mortgage loans increased 29% year-over-year, as we continue to see strong demand for mortgages across our footprint. As typical, we sold the agency qualified mortgage production in the quarter and retained the jumbo mortgages and specialty mortgage products. Turning our attention to the chart on the right side of Slide 7, average total deposits increased 38% from the year ago quarter, including a 39% increase in average core deposits. Average demand deposits increased 56% year-over-year. We remain pleased with the trend in funding mix, particularly the increase in low-cost DDA. This reflects the addition of FirstMerit's low-cost deposit base, as well as our continuing focus on checking account relationship acquisition. We continue to experience only modest core deposit attrition so far from the FirstMerit acquisition limited primarily to certain governments and corporate deposits. Further, we have had tremendous success on the consumer side as consumer deposits from FirstMerit customers and former FirstMerit branches were up 2% between August 2016 and June 2017. Importantly, we remain ahead of our original pro forma model with respect to retention of deposit balances. Moving to Slide 7, our net interest margin was 331 for the second quarter, up 25 basis points from the year ago quarter. The increase reflected a 34 basis point increase in earning asset yields and a 2 basis point increase in the benefit of non-interest-bearing deposits balance against 11 basis point increase in funding cost. On a linked quarter basis, the net interest margin increased by 1 basis point, driven by 5 basis point improvement in earning asset yields and a 3 basis point increase in the benefit of non-interest-bearing deposits. Firstly, offset by a 7 basis point increase in funding cost. The increase in funding cost was more heavily weighted to wholesale funding as we remain pleased with our ability to successfully lag deposit pricing so far as our cost of total deposits only increased 3 basis points. Purchase accounting contributed 15 basis points to the net interest margin in the second quarter, down from 16 basis points in the prior quarter. After adjusting for this impact the core NIM was 3.16%, compared to 3.14% in the first quarter, also adjusted for the impact of purchase accounting and 3.06% in the second quarter of 2016. The linked quarter comparison improves by approximately 1 basis point, if you adjust for day count. As I just mentioned and calling your attention to the orange line at the bottom of the graph on the left, our cost of total deposits was only 22 basis points for the second quarter. This represents a 6 basis point increase over the year ago quarter and a 3 basis point increase sequentially. Clearly illustrating the strong core deposit base we enjoy and our ability to successfully lag deposit pricing. We have seen consumer and small-business deposit pricing remain relatively steady in the face of recent Fed interest rate hikes. While the majority of pricing pressure has been limited to Government Banking, Corporate Banking, and the upper end of middle market commercial. On our earning asset side, our commercial loan yields increased 57 basis points year-over-year and consumer loan yields increased 48 basis points. On a linked quarter basis, commercial loan yields increased 11 basis points, while consumer loan yields increased 4 basis points. Security yields were relatively flat with both the prior and year ago quarters. Approximately $625 million of asset swaps matured in the second quarter and we intend to continue to allow the remaining swaps to run off by the first quarter of 2018 as scheduled. Slide 8 shows the expected pretax net impact of first accounting adjustments on an annual forward looking basis. We introduced this slide last fall and believe it is useful in helping you think about purchase accounting accretion going forward. It is important to note that the purchase accounting accretion estimates on this slide are based on current scheduled accretion and accept for what we experienced in the first half of 2017, do not include on the accelerated accretion from the accelerated recapture through early payoffs or extensions in the projected periods. As we have stated previously, and our results in the past four quarters illustrate, in reality we're likely to experience loan extensions and early payoffs resulting in accelerated accretion. Therefore you are likely to see the accretion revenue in the green bars continue to be pulled forward as modifications and early payoffs occur. Let me also remind you that some of the accelerated accretion may be offset by provision expense as acquired FirstMerit loans renew and we establish a loan loss reserve in normal course. As a result, we intend to continue to provide regular updates of this schedule going forward and so the majority of that of purchase accounting accretion has been recognized. Turning to Slide 9, from the very beginning we made it clear that value creation for the FirstMerit acquisition was built upon the significant cost savings inherent in the deal and that our financial positions did not depend on revenue synergies. That said, we believe there is significant revenue enhancement opportunities, some near-term and some longer-term, which will be additive to the baseline economics of the deal. Slide 9 is an update of a slide you have seen numerous times over the past three quarters, discussing our expectations for achieving the full 255 million of annualized cost savings and illustrating our 609 million adjusted noninterest expense target for the fourth quarter of 2017. As we have stated previously, the 609 million adjusted expense target excludes expense from intangible amortization, the FDIC’s temporary surcharge, and the incremental expense from FirstMerit related revenue enhancement initiatives. The chart on the upper right details these items and provides our initial estimate of the incremental expense from the revenue initiatives, which is about $12 million. As you can see in the chart, on the bottom of the page, we currently estimate a total of $41 million of the total incremental expense from revenue initiatives this year and $50 million in 2018. As I mentioned during last quarter's conference call, we expect the revenue initiatives to have an incremental efficiency ratio of approximately 50% in 2018, and higher this year as the ramp in revenues will naturally lag some of the up cost expense. Slide 10 provides additional detail on the FirstMerit related revenue enhancement opportunities. The bar chart on the top of the slide displays our current targets for additional revenue from the initiatives, which are detailed below. In 2017, the revenue ramp corresponds with incremental hiring and the corresponding increase in production. For 2018, we are targeting the 100 million of total revenue enhancements that we have discussed since we announced the deal. The bottom half of the slide details some of the specific revenue enhancement opportunities we have discussed on prior presentations. First, there is a significant opportunity to deepen our relationships with legacy FirstMerit customers utilizing our optimal customer relationship or OCR strategy, our more robust products and capabilities and our deep commitment to excellent customer service. We are encouraged by the early progress and we'll build on this long-term opportunity through focused execution. Next, our interest into Chicago and Wisconsin represent attractive opportunities in two areas where we’ve made significant investments and developed strong capabilities. SBA lending and mortgage banking. Our past results illustrate that SBA lending is at a distinctive area of expertise in strength for Huntington. We’re excited to expand our SBA expertise into these new markets, especially Chicago where there are more small businesses in the entire states of Ohio or Michigan. We’re fully staffed on SBA lenders and these two new markets and we are highly confident in our success based on our initial results. In fact, as of June, Huntington has increased from basically zero presence a year ago to the number four most active SBA 7 A lender in both Illinois and Wisconsin. We also feel there is an opportunity to expand our mortgage banking business in these markets and our overlap markets. We have made significant investments in our mortgage banking platform in the past few years and the expansion provides further opportunity to leverage our enhanced capabilities. Again, we have already added new mortgage lenders in these new markets and are especially pleased with the talent and production we are seeing out of the Chicago market. Finally, we believe there is an opportunity to expand FirstMerit's attractive recreational vehicle and marine finance business. Nick Stanutz, who is the head of our highly successful auto finance business, runs RV and marine finance with the same discipline, risk management protocols, and in some cases technology that he applies to our super prime auto finance business. We have expanded this business from its prior 17 state footprint to 34 states and the early results are already exceeding our business plan. Slide 11 illustrates the continued progress we’ve made in rebuilding our regulatory capital ratios following the FirstMerit acquisition. Common Equity Tier 1 or CET1 ended the quarter at 9.88%, up 8 basis points year-over-year. We have mentioned previously that our operating guideline for CET1 is the 9% to 10% range. Tangible Common Equity ended the quarter at 7.41%, down 55 basis points year-over-year, but up 13 basis points linked quarter. Moving to Slide 12, we book provision expense of $25 million in the second quarter, compared to net charge-offs of $36 million. The lower provision expense this quarter reflected the overall improvement in credit quality and reduced purchase accounting market amortization. Net charge-offs represented an annualized 21 basis points of average loans and leases, which remains below our long-term target of 35 basis to 55 basis points. Net charge-offs were down three basis points from the prior quarter, and up 8 basis points from the year ago quarter. As usual, there is additional granularity on charge-off by portfolio in the analyst package on the slides. In particular, I would point out to you the improvement in auto net charge-offs this quarter. The ACL as a percentage of loans decreased 3 basis points linked quarter to 1.11%, but the NAL coverage ratio increased to 207% as a result of the 9% linked quarter decline in nonaccrual loans. Overall asset quality metrics remained strong. Non-performing assets decreased $43 million or 9% linked quarter. The NPA ratio is 7 basis points sequentially to 61 basis points. The criticized asset ratio decreased 6 basis points from 3.72% to 3.66%. Our 90-day plus delinquencies remained essentially flat. We also continue to experience lower NPA inflows in the third quarter in a row. Let me now turn the presentation over to Steve.
Steve Steinour: Thanks Mac, and good morning to all of you. We are on the home stretch of our prepared remarks. So moving to the economies, Slide 14, we illustrate selective key economic indicators for our footprint. We previously noted our regional footprint has outperformed the rest of the nation during the economic recovery over the last several years and I remain bullish on the outlook for the local economies across our eight states. The bottom left chart illustrates trends in the unemployment rates across our footprint and as you can see unemployment rates across the majority of our footprint continue to trend favorably. The charts on the top and bottom right show coincident and leading economic indicators for the region. As shown on the top chart five of the eight states in our footprint produced stronger economic growth in the nation as a whole and during three months through May, which is the most recent date available. Further as depicted in the bottom chart, the leading indexes for our footprint as of May showed that 78 states expect positive economic growth over the next six months. Slide 15 illustrates trends and unemployment rates for our 10 largest deposit markets in many of the large MSAs, the footprint remains at or near 15 year lows for unemployment as of the end of May. The labor markets in our footprint have proven to be strong with several markets such as here in Columbus and in Indianapolis and Grand Rapids, where we see labor shortages. Now we've previously noted that we are seeing wage inflation in our expense base and our customers are too. Housing markets across the footprint continue to display broad-based home price inflation, while remaining in some of the most affordable markets in the US. There are also exciting pockets of innovation centers developing in our footprint, including here in Columbus, in Pittsburgh, and in Ann Harbor Michigan, for example. In fact there is a recent article in the New York Times discussing some of the innovation centers are related to the auto industry. I can tell you that the transportation research Centre at Ohio State is world-class and is incredibly significant to the future of mobile, of AV for auto. So the research and development related to these centers adds an exciting element to the economic outlook for our footprint. And finally we continue to see optimism across our consumer and business customer base. Our loan pipelines have remained steady. We continue to expect that economic activity and thus loan production will modestly improve in the second half of the year. So let’s turn to Slide 16 for some closing remarks and important messages. We’ve delivered good results in the second quarter, a record quarter of net income. Our financial performance in the first half of the year was solid, and we successfully completed the FirstMerit system systems conversions. We’re very focused on driving revenue and achieving the financial benefits inherent in the FirstMerit acquisition. We remain focused on delivering consistent through the cycle shareholder returns and the strategy entails reducing short-term volatility and achieving top tier performance over the long-term and maintaining our aggregate moderate to low risk profile throughout. We were pleased with the DFAST and CCAR results released in June, which provided important industry comparisons and illustrates our strong enterprise risk management and our discipline to operate within our credit risk appetite. The non-objection from the Fed to CCAR capital plan sets us up to significantly increase our cash dividend for the fourth quarter or for the fourth consecutive year and reinstate our buyback program. The FirstMerit acquisition accelerated our ability to achieve our long-term financial goals and with the integration largely complete, we expect to deliver against the goals this year, as well as next year. We remain on pace to deliver our targeted $255 million of annual cost savings from the acquisition with a only limited number left to be implemented in the third quarter. All remaining cost savings will be completed by the third quarter as originally communicated. We also continue to execute on the significant revenue enhancement opportunities, including the SBA, and home lending expenses in Chicago and Wisconsin, and the RV and marine lending expansion. This is combined with the OCR opportunity from bringing our superior products and services to our expanded customer base. All of which have been discussed on previous earnings calls and investor conferences. It is very exciting to build on these initiatives and to see them perform at these levels. We continue to execute on delivering a differentiated customer experience built upon our welcome culture and our relationship focus to drive sustained core deposit and loan growth. We’ve invested and as we’ve often indicated we will continue to invest in our businesses, particularly within our customer facing teams and in mobile and digital technologies, as well as data and analytics. Importantly, we plan to continue to appropriately manage our expenses within our revenue outlook. We have shown agility in the past to adjust expenses when conditions or outlook changes and we will do so in the future. Finally, I would like to include a reminder that there is a high level of alignment between the board, management, our colleagues and our shareholders. The board and our colleagues are collectively the fifth largest shareholder of Huntington. We have holder retirement requirements on certain shares and are appropriately focused on driving sustained long-term performance. Our outlook for the full year of 2017 is unchanged from what we shared with you at year end and last quarter. We continue to expect total revenue growth in excess of 20% consistent with our long-term financial goal we are targeting annual positive operating leverage. We expect average balance sheet growth also in excess of 20%, and we expect to fully implement all of the $255 million in annualized cost savings from the FirstMerit acquisition by the third quarter. Finally, we expect asset quality metrics to remain near current levels, including net charge-offs remaining below our long-term target of 35 basis point to 55 basis points. So with that, I’ll turn it back over to you Mark, so we can get to your questions.
Mark Muth: Thanks Steve. Operator, we will now take questions. We ask that as a courtesy to your peers, each person ask only one question and one related follow-up. And if that person has additional questions, he or she can add themselves back into the queue. Thank you.
Operator: [Operator Instructions] Our first question is from Ken Usdin from Jefferies. You may state your question.
Ken Usdin : Hi thanks, good morning.
Mac McCullough: Good morning Ken.
Steve Steinour : Good morning Ken.
Ken Usdin: Mac, just wondering just on the loan growth outlook, I know you talked about the pay downs in commercial and theory, and you know just wondering are you expecting loans to get better as you go through the second half to get to the to 4% to 6% range and are you still contemplating at auto securitization within that 4% to 6% outlook? Thanks.
Mac McCullough: Yes, thanks Ken. Yes, so we do expect the second half of the year to improve from organic growth perspective, and we did have the headwinds that we talked about with the FirstMerit exits, were all - all were anticipated. We actually identified during the due diligence process and I would tell you that there is probably 200 million there that came out in the quarter. We do anticipate an auto securitization yet this year, which is included in the 4% to 6% guidance that we’ve given and we would tell you that the pipelines are where we’ve seen them in terms of the strength and what’s coming through. So, again we do expect to see some improvement as the year progresses.
Steve Steinour: We also had Ken about 2% drop in commercial utilization. So, a fair amount of headwinds in the second quarter with the combination of those factors and we came through that and so the pipeline as we sit here today reflects essentially what we had at the end of the first quarter and we think a lot of the headwinds have been adjusted.
Ken Usdin: Okay. And just a follow-up on another start of the balance sheet, so Mac, your point about the reserve build related to the FirstMerit new loans, this quarter you had not only really low charge-offs, but a reserve release. So can you just try to walk us through what are these components moving on and do we kind of go back to the reserve builds or this one seem to be a zag within that broader commentary of continuing to expect the reserve to build over time? Thanks
Dan Neumeyer: Hi Ken, this is Dan. So this was an unusual quarter for us. So, obviously we did have the credit quality improvements, particularly in C&I, the big reduction in nonaccrual loans of about 9%. The interesting thing was this quarter a number of those loans had large specific reserves tied to them. So, a largest single specific reserve we got paid out of that credit and then we had a couple - two of a next three largest credits where energy deals where we had pay downs of the loans and improvement in the collateral and cash flows negating the needs for a specific results on those. So that combination was an unusual dynamics. So on a go forward basis, we would expect that natural accrual. We would expect, as we’ve said a slow and gradual move back towards the coverage ratios you would have seen prior to the FirstMerit deal. Think about charge-offs, plus some room for a growing portfolio is how we think about it.
Steve Steinour: Ken, I would point out that we had good performance in auto so across the board the metrics was really was quite strong. It is unusual were literally everything comes positive in the given quarter, and in this - so we have one of those. This is exceptional and not the norm.
Ken Usdin: Understood, good to see the underlying there as well. So, thanks Steve.
Steve Steinour: Absolutely. Thank you.
Mac McCullough: Thanks Ken.
Operator: Our next question is from Steve Moss with FBR Capital Market. You may proceed.
Kyle Peterson: Hi guys, this is actually Kyle Peterson on for Steve today. I was wondering if you could start on margin, specifically kind of the core when you kind of strip out the accretion. Got a couple of bps of expansion in this quarter, I was wondering what you guys were kind of thinking between loan and deposit side benefit from June rate hike?
Mac McCullough: Yes, Kyle, we are going to continue to see expansion in the core margin. We haven't seen all of the benefit in the loans side from the June increase and we continue to manage the cost of deposits really well as you can see with the 3 basis points increase on a linked quarter basis. So, clearly we think that there is expansion in the core margin from here, and adjusting for day basis in the second quarter we’re probably up 3 basis points from the first quarter.
Kyle Peterson: Okay great. And then I guess if you could just expand a little bit on that, kind of on the swaps I know you guys have been pouring back some of that exposure, just kind of potential impacts that could have on NIM with any future rate hikes kind of once those are all rolled off?
Steve Steinour: Yes, so the asset swaps continue to roll off as scheduled and we don't have any plans to replace those. We’re currently about 6.4% asset sensitive and actually without the asset swaps it only has the 10th of a percent to asset sensitivity. So really the asset swaps are pretty much a non-event at this point.
Kyle Peterson: Okay great. Thanks guys.
Steve Steinour: Thanks a lot.
Operator: Our next question is from Scott Siefers from Sandler O'Neill & Partners. You may proceed.
Scott Siefers: Good morning guys.
Mac McCullough: Hi, Scott.
Scott Siefers: Hi Mac, quick question. First of all, thank you guys for adding those slides 9 and 10 with the 4Q expense expectation as well as, sort of the walk forward on revenue side, I don’t mean to pin you down too much on the near term expectation Mac, but could you kind of walk us through the expense trajectory for the remainder of the year? Because I guess, what is implied is, you come down a little from this quarters, call it $645 million to the $639 million in the reminder of the year and just there were a few puts and takes, right, I guess you have seasonally upgraded in a couple of areas in the 2Q, but then you also presumably have the branch consolidation benefits, I think, though you said there is some offset on the digital and investment side. So, how should we expect expenses to progress through the remainder of this year?
Mac McCullough: Yes, Scott, so a few things, I mean, we are highly confident in the 609 for the fourth quarter excluding the intangible amortization and the FirstMerit revenue initiatives. The second quarter that we're looking at is seasonally higher, we have merit increases in this quarter, we have the impact of some stock compensation expense that hits this quarter that one-time in nature as it relates to the year, and we also had some seasonally higher marketing this quarter. So, those three things alone are probably $10 million to $15 million, closer to $15 million. So, very confident as we move from this level down to the 609 in the fourth quarter as I described.
Scott Siefers: Okay. All right. I think that actually does it for me. That’s a helpful walk there, I appreciate that.
Mac McCullough: Thanks Scott.
Operator: Okay. Our next question is from Jon Arfstrom from RBC Capital Markets. You may proceed.
Jon Arfstrom: Thanks, good morning guys.
Mac McCullough: Hi Jon.
Jon Arfstrom: I did have a bigger question, but I just wanted to ask on the swaps, Mac. During the details, it looks like the swaps maybe cost you a little bit of money on commercial loan yield this quarter. Am I looking at that correctly?
Mac McCullough: That would be correct.
Jon Arfstrom: Okay. And is it a bit of a headwind again in Q3 and Q4? And then as we see these swaps roll off, it's maybe helpful in 2018 to commercial loan yields?
Mac McCullough: Yes absolutely. It will be a headwind through the first quarter of 2018, really pretty small in the scheme of things and then once they are got we get the full benefit of the rate increase coming through and the adjustable rate C&I levels.
Jon Arfstrom: Okay, okay. Good, that helps. On the incremental reduction in branches, Steve, do you view this as a onetime item? Or is this something that's ongoing? And could we see more of this as things progress?
Steve Steinour: Jon, we’ve been suggesting that we would review the branches like any good retailer, periodically. We tend to do it about every year and the track record would show a fairly consistent period of activity between every year, year and a half for the last 5, 6 years. So, we will continue to operate with that, and again like any good retailer we will be looking at our distribution. We are seeing continued - in particular mobile take-up by our customers both consumers and businesses, it is one of the reasons we’re investing more, if you will, accelerating some of our plans, and so you could expect to see more distribution consolidation from us over time.
Jon Arfstrom: Okay.
Steve Steinour: We remain Jon with number one branch here in Ohio and Michigan. So, you think about that over an extended period of time and as this transition to more and more mobile occurs, I think it gives us a really significant, set of opportunities over time.
Jon Arfstrom: Okay. Does this change your thinking at all on distribution in Chicago, in terms of maybe looking at a more digital expansion of your retail business in Chicago?
Steve Steinour: It doesn't change our strategy because it has all been consistent. We are looking for niche opportunities, principally business focused. We are not going to run the same play in Chicago that we’re doing in Ohio and Michigan in terms of dense distribution. We will, so we do think of Ohio, Chicago as an opportunity to pilot some of what we want to get done with mobile. And we will continue to use it on that basis. The combination of mobile and digital and data and analytics in a market as dense as Ohio is very attractive to us with the current distribution. We’re subscale, I don't think we are highly unlikely to build it out. So, we will be coming at it differently.
Jon Arfstrom: Okay. All right. Thank you.
Mac McCullough: Thanks Jon.
Operator: Our next question is from Kevin Reevey with D.A. Davidson. You may proceed.
Kevin Reevey: Good morning guys.
Steve Steinour: Good morning Kevin.
Kevin Reevey: So it looks like second quarter you had some very strong performance in your capital markets business, what’s the pipeline going forward into the third quarter, do you expect this line of business to continue to remain strong as this is kind of more seasonal than anything else?
Mac McCullough: Kevin we had a really good quarter in the second quarter and a lot of that activity can be tied to either market circumstances volatility or commercial activity, and as we have said we think the commercial activity in the second half of the year is better than the first half or will be and we are also pretty good start in the quarter.
Kevin Reevey: And then my last question is related to deposit price, it sounds like you were able to continue the lag your deposit pricing in the quarter, which had helped you a little bit on the margin, how many rate hikes do you think that will take before you will have to kind of start moving your deposit pricing up?
Mac McCullough: Kevin it is going to be really based on what’s happening in the marketplace. We are seeing a little bit more competition in our markets, but feel very confident in our core deposit base because of the strategy that we’ve put in place in 2010, around building relationships with the quality of the fair play product sets and mindset, and how do we actually serves the customer. We think it feels us with an advantage in times like this when we see increases in deposit pricing and we can maybe lag a little bit more than the competition even. We are really pleased with what we have been able to do so far. The deposit betas are very attractive for us at this point in time, but I would think by that time we get at least the second increase from here, we will see a bit more pressure in what’s happening.
Kevin Reevey: Great, thank you.
Mac McCullough: Thanks a lot.
Operator: Our next question is from Geoffrey Elliott with Autonomous Research. You may proceed.
Geoffrey Elliott: Hi good morning, thank you for taking the question. I wondered if you could speak a little bit more about auto, you had some growth this quarter, what it’s your appetite for growing auto like at the moment and how is the competitive environment shaping up?
Steve Steinour: Geoff we remain highly confident in the quality of what we’re underwriting. We’re very, very disciplined and you see the statistics every quarter. The credit quality performance, there’s been an anxiety around auto for last three years. The credit quality performance and the consistency of it, I think it’s clearly coming through, as it did in this quarter in particular. And so we will we have limits in place in terms of what we believe on balance sheet, we use securitization as an outlet. We will continue to do that. As you heard Mac talk about it, it is not a business where we expect to adjust the limits that we have now. We will operate within those guidelines. We ramped it up a bit post Q3 and just believe then that with our discipline on credit that we were getting our better risk return trade-off than what was available in securities. So we continue to believe that as we look at the business today and prepare it to alternative risk returns.
Geoffrey Elliott: And on the competitive side, how things are shaping up there, we have seen some of the other banks pulling back a bit, is that creating opportunities?
Steve Steinour: There is a - this industry cycle is on the finance side, and we think we’re entering one of the more attractive periods. Like 2010, 2011, 2012 were attractive. So there is a bit less competition, as others pull back. Those that bought deep are clearly feeling the challenges from the credit risk they took and so a combination of factors, I think we are making it even more interesting to us prospectively. We are also applying some of our data and analytics to this portfolio. We’ve been managing with some unique tools over the last year and a half. We think we are making better trade-off decisions, and pricing clearly has gone up as we referenced it is up about 50 basis points of Q2 last year to this year.
Geoffrey Elliott: Great, thank you very much.
Steve Steinour: Thank you.
Operator: Our next question is from Kevin Barker with Piper Jaffrey. You may proceed.
Kevin Barker: Good morning.
Steve Steinour: Hi Kevin.
Kevin Barker: In regards to the comment about the swaps earlier, would you expect some of that incremental interest income or at least the interest headwind to start to be released over third and fourth quarter before the swaps actually expire in the first quarter or is it something just where it just happens as a full maturity in the first quarter?
Mac McCullough: Well it is basically will run off pro rata along with the run off of the swaps themselves.
Steve Steinour: It is very laddered.
Mac McCullough: It is. So it’s very gradual from this point to the first quarter of 2018. It is actually a very small amount in the first quarter of 2018.
Kevin Barker: So at the short end of your current stay is, or that stay is stable, from where it is today and so the first quarter, how much of a tail wind would you expect on interest income?
Steve Steinour: Related to the swaps?
Kevin Barker: Yes.
Mac McCullough: It is a very small number. I think it’s probably 1 million or 2 million. I mean it is not large at all.
Steve Steinour: The specific details will be in the footnotes in the Q, here in a few weeks.
Kevin Barker: Okay. And then in regards to the revenue synergies that you are generating off of the $50 million investment, what specifically have you seen so far in the second quarter start to benefit and start to come through on the income statement?
Steve Steinour: Well we obviously have our mortgage production and pipelines and we are seeing that flow-through very significantly. FirstMerit was not an SBA lender, so for us to be number three in Chicago, four in Chicago depending on what you want to measure, and same with Wisconsin, that’s all a result of the initiatives. We’re starting to break out some of the RV marine portfolio, as well for as you can see the growth in that portfolio, and it’s a portfolio that has performed very well through the cycle for FirstMerit. And we have some experience in terms of the team we put in place, about two years ago now to help us understand and manage that. So we are able to leverage the skill sets and technology is somewhat in auto and apply it to that book as well. So we see in terms of broadly the OCR activity whether it’s cross sell of products. At the branch level or through phone or other distribution channels we’re able to track that and we see that coming on as well. So, we like what we see occurring now. And there's been a lot of effort to make sure the conversion and integration activities went really well through the first half of this year. So, second half is entirely a focus on driving that revenue further.
Dan Neumeyer: And Kevin on Slide 10 you can see the progression by quarter of the revenue related to the initiatives for 2017, and you can see it for 2018 as well with the expected expenses with those initiatives on Slide 9.
Kevin Barker: Thank you for taking my question.
Mac McCullough: Thank you.
Mark Muth: Operator, next question.
Operator: [Operator Instructions] Our next question is from Marty Mosby with Vining Sparks. You may proceed.
Marty Mosby: Thanks.
Steve Steinour: Hi Marty.
Marty Mosby: Steve I wanted to back up a second because we’ve been talking about a lot of minutia and details and we really haven't talked about the key results from what you’ve been able to do with FirstMerit acquisition, and that is the improvement in return on tangible common equity, it is one thing that we don't have a trend in this massive presentation you give out, but yet looking at how that’s stepping up. And then, you know Mac you just talk about the impact of the seasonality in expenses, which actually held back this particular quarter, so a step-up from what was a 12% return before the acquisition, now is getting to, when you look into the next quarter and take that seasonality out, something north of 15%, and even could be close to 16% next quarter. So, you are seeing that kind of benefit come through and as you are then going to generate synergies going forward, kind of where do you think we kind of push forward on that particular matter because I think that’s the end result of the combination you’ve made here?
Steve Steinour: Well Marty when we announced the deal, we talked about it as accelerating and enhancing our long-term financial goals and one of those is a TCE, return on TCE of 13% to 15% and at the announcement we suggested we saw our way to the upper end of that. And we in fact expect to deliver that and potentially go beyond it depending on was it occurring in the economy and sort of the interest rate environment, but we are very, very focused on those metrics and that’s an important one. May, one of the most important ones for us, and as we have talked before, our board will be reviewing performance against the metrics and coming into next year determining whether they should be adjusted or not. We do feel this was a very powerful transformational opportunity for us and we think we are executing it very well. So, that combination should put us in a position over just another couple of quarters where we can show without one-time expense or transaction-related expenses, pretty strong performance. Anything to add Mac.
Mac McCullough: I think it sums it up really well. I mean that’s one of the reasons why we did the deals, it is obviously a great strategic fit, risk appetite was the right, customers we know, great colleagues and improving the return profile. So, we feel like we're right on track in terms of what we expect.
Marty Mosby: And then Mac, just on a follow-up in that kind of vein is, when you look at the purchase accounting accretion, the way that kind of works out, you have been offsetting most of that benefit from building allowance. This particular quarter you had some events that didn't turn out that particular way, but when you are looking at purchase down accounting accretion versus the eventual synergies that you pick up, it’s almost like that will schedule that you put down there and show that versus the intangible kind of write-off, you ought to put the synergies on there too, to show the three elements. In other words, the other piece of the puzzle is the synergies you are going to build instead of a positive number that’s going to go negative. Over time you actually have the reverse. You have the synergies kind of come in and over swamp this particular diagram. So, again it is a little misleading in a sense it feels like oh my gosh we are accelerating the benefit when in reality you have things offset the PAA as it rolls off.
Mac McCullough: That’s a great observation Marty, and we appreciate you pointing that out.
Marty Mosby: Thanks.
Mac McCullough: Thank you.
Operator: Ladies and gentlemen we have reached the end of the question-and-answer session. I would like to turn the call back over to Steve Steinour for closing remarks.
Steve Steinour: Thank you all. The first half of 2017 produced solid results, and as you can tell we are excited about our prospects to finish the second half of the year strong. The integration of FirstMerit is largely complete and we are now focused on the revenue upside. Our success with the integration accelerates the achievement of our long-term financial goals as we were just talking about, and our strategies are clearly working, our execution goals continues to drive good results, and we expect to continue to gain market share and growth share of wallet. So finally, I just want to reiterate that our board and management team are all long-term shareholders. Our top priority is realizing revenue synergies from FirstMerit, as well as growing our core business. And at the same time, we will continue to manage risk and volatility and drive solid consistent long-term performance. We remain optimistic about our future performance. So thank you for your interest in Huntington, we appreciate you joining us today. Have a great day.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time and thank you for your participation.